Operator: Good morning. This is Laura welcoming you to ING's 4Q 2024 Conference Call. Before handing this conference call over to Steven van Rijswijk, Chief Executive Officer of ING Groep, let me first say that today's comments may include forward-looking statements, such as statements regarding future developments in our business, expectations for our future financial performance and any statement not involving a historical fact. Actual results may differ materially from those projected in any forward-looking statements. A discussion of factors that may cause actual results to differ from those in any forward-looking statement is contained in our public filings, including our most recent annual report on Form 20-F filed with the United States Securities and Exchange Commission, and our earnings press release as posted on our website today. Furthermore, nothing in today's comments constitutes an offer to sell or a solicitation of an offer to buy any securities. Good morning, Steven. Over to you.
Steven van Rijswijk: Thank you very much. Good morning and welcome to our results call for the fourth quarter of 2024. I hope that you're all well. As usual, I'm joined by our CRO, Ljiljana Cortan; and our CFO, Tanate Phutrakul. And today I'm proud to show you how the steady execution of our strategy has resulted in another successful year with outstanding commercial growth and strong financial results. And thereafter, Tanate will walk you through the financials of the quarter and provide some insights in our expectations for 2025. At the end of the call, as always, we will be happy to take your questions. Now let's move to Slide 2 and that slide shows the outstanding commercial growth that we achieved across all of our business lines in 2024. The number of mobile-primary business customers increased by almost 1.1 million, exceeding our annual growth targets, and we ended the year on a high by adding more than 430,000 mobile-primary customers in the fourth quarter. We've also shown significant growth in our loan book. Net core lending in Retail Banking grew by a record of EUR 26 billion, which were primarily driven by mortgages, while we also performed very well in business lending and consumer lending. In Wholesale Banking, the lending growth was partly offset by continued efforts to optimize capital usage. At the end of the of 2024, 52% of our risk-weighted assets were allocated to Retail Banking in line with our strategy to increase the capital allocation to Retail Banking to 55% in 2027 as communicated during the Capital Markets Day. The record net deposit growth last year was driven by both Retail Banking and Wholesale Banking. Retail Banking benefited from continued customer growth and successful promotional campaigns, while the effects of our focus to increase deposits in Wholesale Banking also became visible. Total customers balances growth, so lending and deposits combines, amounted to 6% in 2024, exceeding expectation of 4% that we set during the Capital Markets Day. Now on Slide 3, we show how we are increasing impact on our stakeholders. Firstly, we have made progress in the diversification and enhancement of our product offering for both existing and new customer segments. We have, for example, successfully introduced new products for Business Banking clients in Germany. We are focused on expanding our service offering for Private Banking and affluent clients, and we have enhanced the product foundations in Wholesale Banking. With the #1 net promoter score in 5 out of our retail markets and the high net promoter score of 74 in Wholesale Banking, we continue to be the most loved bank in many countries in which we operate. We have a highly engaged workforce as evidenced by our highest ever organizational health index score and our record participation. In order to support more diverse representation, we set a target a few years ago to increase the number of women in senior management positions. And in 2024, the percentage of women in these positions increased further to 32%, getting closer to our target of 35% by 2028. And we've done very well on sustainability. That's the second pillar of our strategy. The number of sustainable deals increased further with EUR 130 billion of volume mobilized in 2024, which is 13% higher than in 2023 and already surpasses our previous target of EUR 125 billion, which we aimed to achieve in 2025. On the next slide, I will show how we are continuously making investments in our Growing the Difference strategy at Slide 4. And as mentioned, we're continue developing products and services for new and existing customer segments. In Germany, for example, where we introduced products for Business Banking clients and where we have already attracted close to EUR 1 billion in deposits from these clients. And we've recently also launched a business account there, marking the next important milestone in our product offering. Our investments in client acquisition are clearly paying off. The total number of customers grew by around 1 million in 2024 and we have further momentum in converting these customers to mobile-primary customers. We also hired additional front-office staff in Wholesale Banking to better serve our Wholesale clients and grow the franchise. To enhance the scalable infrastructure, we have further digitalized our core systems and enhanced our product foundations. We have, for example, invested in our payments platform, which will benefit both Wholesale Banking and Retail Banking. And we're continuously investing in AI to further strengthen our position as one of the leaders in the AI and analytics space. We have, for example, launched personalized marketing for specific retail segments, which has already shown promising results. The cost of these investments are partly mitigated by operational efficiencies through our increasingly scalable model. And let me give you some examples. There was a further rationalization of the branch network which now stands at just over 600 globally. So 600 branches globally compared to almost 800 at the end of 2023. We have improved customer experience through the use of our GenAI chatbots, which also led to higher chat deflection. And we made measurable progress in operational efficiency with a 3% improvement in the FTE over customer balances ratio, which is in line with our messages during our Capital Markets Day. On Slide 5, we show that these investments are also leading to business growth and strong revenue generation. And volume growth in both lending and liabilities has supported the increase in net interest income over the last couple of years and has helped to offset the margin pressure from decreasing rates in 2024. And what's clearly visible on the slide is that total net interest income is at a structurally higher level in a positive rate environment. Fee income grew by over 11% year-on-year, driven by the strong increase in the number of clients and our initiatives to further diversify the income base. And this led to a records total income in 2024 and we expect income in 2025 to be at roughly the same level. And Tanate will comment later with more details on our outlook for the next year. On the next slide, Slide 6, I want to show the impact of these strong results in our shareholder distribution because this Slide 6 illustrates that our capital generation was again strong, exemplified by the return on equity of 13% and this has allowed us to sustain our attractive shareholder remuneration. The yields in 2024 was above 15% for the second consecutive year. And note that we have been able to achieve this while the average share price was almost 21% higher. Going forward, we believe we have ample capacity to continue providing an attractive return. The EUR 2 billion share buyback we announced in November is still ongoing and we made an additional cash payment of EUR 500 million in January. Today, we also announced the final cash dividends over 2024 of EUR 0.71 per share, which will be paid in May subject to shareholder approval at the AGM in April. The impact of the implementation of Basel IV and other model updates in the first quarter is expected to be negligible, which is better than the 20 basis points that we had anticipated last year. As usual, we will update the market on next steps in converging our CET1 ratio towards our target level with our first quarter results. And that brings me to Slide 7. I would like to zoom in on an individual country again and demonstrate how we are executing our Growing the Difference strategy. With an income of around EUR 5 billion and profit before tax generation of close to EUR 3 billion, ING in the Netherlands is  the largest contributor to the overall retail P&L. A high level of digitalization and our continued focus on offering superior value for customers is reflected in their strong appreciation of our products and services, and this in turn also resulted in sustainable growth in the last few years. The number of mobile-primary customers continues to increase. Customer balances have grown by 4% since 2020 and we have significantly increased market shares. In mortgages, for example, we have grown the market share and new production to around 17% in 2024, mostly driven by the appreciation of our flexible operations and the fact that we were able to process digital applications faster than most competitors. Going forward, we firmly believe we can grow further and make more impact for our customers. We have launched a digital tool supporting clients in their retrofitting journey by helping identifying which energy upgrades are possible to their homes, estimating the energy bill savings and getting quotes from trusted and accredited installers all in one place. For our Private Banking clients, we have extended the private markets investment offering, which will support further growth in assets under management. And the focus on Business Banking is clearly paying off with a significant growth in lending while the market was not growing in 2024. So as you can see from its performance, ING in the Netherlands is a clear example of how we are growing the difference. Then I move to Slide 8 and this slide talks about the intended sale of our onshore business in Russia. As we announced last week, since February 2022, we have been clear that we don't see a future for ourselves in Russia. We have taken on no new business with Russian companies, have scaled down operations and have taken actions to separate the business from our networks and systems. And with the agreement, our activities in the Russian market will effectively end. The transaction will have an estimated negative impact of around EUR 700 million on our P&L and around 5 basis points on our CET1 ratio. The impacts on the currency translation adjustments and of that EUR 700 million, of around EUR 300 million will have no impact on our resilient net profit and hence on the dividends. We will continue to further reduce our offshore exposure to Russian clients. At the end of December, we still had around EUR 1 billion of offshore exposure, of which EUR 0.5 billion is under ECA, so export credit agency, or CPRI cover that is insurance. And that brings me to Slide 9. I would like to emphasize again that executing on our strategy has resulted in strong results in 2024 with outstanding commercial growth and strong financial performance. And this progress on our strategy execution also allows us to confidently reiterate the targets for 2027, which we set during our Capital Markets Day. And we once again confirm our ambition to be the best European bank. And now with that, I will hand over to Tanate who will take you through the results in the fourth quarter and to the outlook for 2025 in more detail starting on Slide 11. Tanate, over to you.
Tanate Phutrakul: Okay. Thank you very much, Steven. I'd like to start on Slide 11 where we show our sustainable commercial momentum with strong net core lending growth of EUR 7.2 billion in the fourth quarter. Beside the continued strong performance in mortgages across almost all of our markets, we also grew in business lending and consumer lending volumes. On the liability side, we saw core deposit growth increase by over EUR 16 billion. Of that EUR 16 billion, Retail contributed over EUR 12 billion driven by successful campaigns, evidencing our ability to attract customer deposits. In Wholesale Banking, our focus on increasing deposits also paid off with strong flows in payment and cash management business as well as money markets in particular. On Slide 12, the impact from the lower replication income on our liability NII is clearly visible as the saving rates cuts we have announced over the past few weeks will only become effective as of the first quarter of this year. Lending NII increased by EUR 16 million, driven by higher volumes at stable margins. Other NII, which is mostly treasury related, came in at the upper end of our usual EUR 200 million to EUR 300 million range that I mentioned last quarter. The one-off includes the payment of incentives in Germany following a Black Friday campaign in which we attracted a significant number of customer and around EUR 2 billion of deposits so far. And lastly, the impact of accounting asymmetry on NII decrease compared to the third quarter, but was still EUR 30 million higher year-on-year. Turning to Slide 13, you can see that the lending margin was stable at 128 basis points this quarter. The average lending margin for the full year 2024 was 130 basis points in line with our guidance at the start of the year. The liability margin decreased to 100 basis points in the fourth quarter, mainly driven by lower replicating income following the decrease in rates since the middle of 2024. The additional lower margin volumes we attracted in Wholesale Banking also had an impact on the liability margin as well. Overall, the net interest margin, which takes into account the development in total balance sheet into account, decreased by 1 basis points as the lower liability NII was compensated by higher treasury NII and a shorter balance sheet at the end of the year. Slide 14 illustrate our ability to maintain a strong liability NII also in a lower rate environment. The graph on the left shows the forward curve as per the end of December compared to the end of September last year, with rates marginally higher at the end of the year. You can see the impact of this development on our gross replicating income in the graph in the middle of the slide. Based on the current interest rate curve, we remain confident that we'll be able to manage our liability margin at a level of between 100 basis to 110 basis points over the longer term. For 2025, we expect the margin to end up around 100 basis points. I will come back later on the overall outlook in more detail. Turning to Slide 15, the fee growth year-on-year was again double digit at 14%, driven by structural revenue drivers. Growth in Retail Banking was partly driven by investment products reflecting growth in active investment product accounts and in increase in both asset under management and customer trading activities. Daily banking fees rose on the back of strong customer growth and an updated pricing for payment packages. In addition, Retail Banking grew its fee income from lending and insurance products. The increase in fee income in Wholesale Banking was mainly attributed to higher fees from lending. Now turning to Slide 16, total expenses in 2024 increased by 4.8% compared to 2023 and we ended up at just over EUR 12 billion in costs for the full year. Expense excluding regulatory costs and incidental items were 7.6% higher. This increase was mainly driven by the impact of inflation on staff expenses, reflecting salary in taxation and collective labor increases across most of our markets. Certain FX development, in particular the weakening of the euro, also contributed. As Steven already alluded to, we also continue to invest in our business. We had to pay higher VAT following the implementation of the Danske Bank ruling in the Netherlands. Operational efficiency compensated for a large part of these increases and we continue to digitize our services to further increase operational leverage. Now on to risk cost, the next slide. Total risk cost was EUR 299 million this quarter or 18 basis points of average customer lending, which is below our through-the-cycle average. Stage 2's credit outstanding for Retail increased in the fourth quarter, which was due to regular movements in the portfolio and to the implementation of an enhanced early warning system in various retail other countries. In Wholesale Banking lending, higher Stage 2 ratio reflected the methodological change to reclassify portfolios for which provision overlay have been taken as well as some movements in the watchlist portfolio. Net addition to Stage 3 provision amounted to EUR 311 million, which were largely due to addition to a number of new and existing files in the Wholesale Banking. Although we see more macroeconomic uncertainty, we remain confident on the quality of our loan book. Now to Slide 18, which shows the development of our core Tier 1 ratio, which decreased from the reported level at the end of third quarter, had rose from a pro forma core Tier 1 ratio, including the announced cash distributions. From this pro forma level, core Tier 1 capital increased due to the inclusion of the quarterly net profit after reserving for dividend. Risk-weighted assets also come in somewhat higher driven by an increasing in exposure and FX impact. Note that the FX impacts are fully offset by an appreciation of core Tier 1 capital. These increases were partly offset by positive changes in the profile in our loan book and the impact of model changes, which included a EUR 2.5 billion reversal of a model update in the second quarter of 2024. Market risk-weighted asset decrease while operational risk-weighted assets were stable. The final cash dividend over '24 will be repaid on the 2nd of May subject to our shareholders' approval. Now, as I mentioned earlier, I will share our perspective on the outlook for 2025 starting on Slide 20. Note that we explicitly mentioned commercial NII on this slide, which will be the basis for both our outlook and consensus for the first quarter 2025 onwards. This commercial NII consists of lending and liability NII. Before going into details, it's good to highlight again that the world around us continue to be volatile, which limits the visibility on important operating drivers such as interest rates. In the scenario illustrated on this slide, we assume continued growth in customer balances of around 4% per annum as per our guidance during Capital Markets Day. If this scenario were to materialize, the positive impact on liability NII would be roughly EUR 300 million in 2025. This, however, will be more than offset by a lower average liability margin, which we assume to be around 100 basis point in 2025. Volume growth would also have positive impact of around EUR 300 million on the lending NII where we expect lending margin to be stable at around 130 basis points. Furthermore, we expect fees to increase by a further 5% to 10% while other income is expected to be slightly lower due to the positive one-off we had last year. As a whole, total income is forecasted to be around the same level as in 2024. Note that this guidance exclude the potential impact of the sale of our business in Russia. On the next page, I will explain the driver of the expected fee growth. Following the strong growth in fees in 2024, we feel confident we can grow fees income further in 2025. This confidence is underpinned by the investment we have made over the last few years as well as by the continued focus on diversifying our P&L. Retail daily banking is expected to be one of the big drivers for this fee growth, supported by continued customer growth, increased conversion to mobile-primary customer, update, pricing packages and further development of the Business Banking segment. We also see growth in fees coming from investment products as we continue to cross-sell our products to more clients. We also see further increases of our focus on growing the assets under management from affluent segment and increasingly from Business Banking. Other Retail products are also expected to grow, driven by a further normalization of mortgage demand, particularly in Germany and in continued focus on insurance product distribution. In Wholesale Banking, we will further optimize capital efficiencies and increase capital velocity. In addition, we have hired additional front-office staff, especially in capital market advisory and transaction services, which is expected to generate additional business. Then to our outlook on costs on Slide 22. We expect our annual cost growth of around 4.5%, excluding potential incidental expenses. The main driver for this increase continues to be inflationary pressure, which will again mostly be impacting staff expenses. We will also continue to make selective investment to facilitate business growth and further increase efficiency. For example, we will continue to develop product and services for new and existing customer segments. We will further increase client acquisition by investing in marketing in front-office staff. We will make further investment in our product foundations and infrastructure, facilitating further commercial growth. We will, for example, be strengthening the payment infrastructure and enhancing the financial market business. Next to that, we will also be strengthening our core banking operations to further improve our delivery of a seamless digital experience for our customer. The cost for this investment will be largely offset by operational efficiencies. We will further optimize our contact center, make KYC processes more efficient and reduce our branch network. This will result in approximately 1,000 less operational staff and front-office jobs, which will further improve FTEs over customer balance ratio. To summarize, we're confident in our outlook for 2025 as laid down on the Slide 23. 2024 was another good year with outstanding commercial growth and strong financial result. For 2025, we expect total income to remain strong as we continue to benefit from volume growth in both lending and liability, and from a further 5% to 10% growth in fee income. We maintain focus on cost control and operational efficiency whereby we'll make selective investment to facilitate further business growth. Our core Tier 1 ratio will continue to converge towards our target of around 12.5% by the end of 2025 and we have capacity to continue to provide an attractive shareholder return. We will update the market again on our capital distribution plan with our next quarterly results. Taking all that into account, we aim to have a return on equity of more than 12% for 2025. Now to Q&A.
Operator: [Operator Instructions] We will now take our first question from Benoit Petrarque of Kepler Cheuvreux.
Benoit Petrarque: It's Benoit from Kepler Cheuvreux. So I actually have 2 questions on capital. So first one will be, are you seeing share buyback in front of M&A opportunities in '25? I think you've done recent comments on M&As. I think you mentioned Germany, Spain and Italy potentially. But on the other side, I think we have potential through share buyback at EUR 4.5 billion. So just wanted to see how you see both sides of the equation. And the second one will be on SRTs. Quite a number of banks are talking about SRTs and execution of SRTs in '25. I think you talked about that in the CMD as well. So just wondering what are your plans for SRTs in '25. How much capital uplift could that deliver potentially?
Steven van Rijswijk: Thank you very much, Benoit. Yes, indeed -- look, we are growing with 4% to 5% per annum towards 2027. And we're also broadening our services by diversifying in the markets in which we are already active, also in Business Banking and Private Banking where we currently do not yet have these operations or have them only to a very small extent. And therefore, we can also grow our fee business a bit also further diversify our business. So that's good. And as I've said previously, if there are abilities for us to accelerate that, so to realize bigger scale in markets or broaden our product base so that we can provide a broader service offering to our customers, then we will look at it. Of course, we still have excess capital. We're moving towards the 12.5% or around 12.5%. And the way that we compare that is that we look at all these elements and also the share buybacks and M&A to see how does that compare from a long-term ROE value creation. And that's how we compare share buybacks versus M&A. SRTs, I mean clearly, we are already taking actions, whether it is primary syndication or secondary sales of loans or securitization of loans that we could do to actually move the needle in Wholesale Banking to further recycle the capital better and in the balance thereby as a result of it, move capital from Wholesale to Retail, SRTs are part of it. And we expect the first SRT in Wholesale Banking to happen in the second half of this year.
Benoit Petrarque: How much impact would that be on capital roughly?
Steven van Rijswijk: Yes, we work on that, but it is part of the mix. We will disclose it when we've done that.
Operator: And we'll now take our next question from Farquhar Murray of Autonomous.
Farquhar Murray: Just had 2 questions from me. Firstly, could you give us an update on the announced core deposit rate reductions coming into effect this year so far? I think in early January, you gave us a very helpful indication of about 20 to 25 basis points for total Retail in Eurozone. It would be just interesting to see how that's progressed. And then a little closer to home for ING, you don't seem to have cut the per quarter deposit rate yet in the Retail in Netherlands section. I just wondered what's the reasoning for that. And in particular, is there a change of competitive backdrop or attitude there?
Steven van Rijswijk: I'll give the first question to Tanate on the deposit rate reduction and then I'll talk about the Netherlands.
Tanate Phutrakul: I think -- Farquhar, I think your question is how much of the, in euro terms, does the rate cut affect our rate reduction announcement. It's approximately EUR 200 billion in core deposit that was subject to reductions, which will have a positive impact in terms of revenue of EUR 600 million full year.
Farquhar Murray: Apologies, just as a follow up on that. Actually I was asking for an update on the 20 to 25 basis points you gave in early January. And then probably a secondary follow up would actually be, how much do you need to cut to achieve the 100 basis points guidance on the liability margin?
Tanate Phutrakul: Well, I think that depends on what's happening with respect to the replicating revenue, the ECB rates. But I think the sensitivity that we have given, which we maintain, is the fact that every 10 basis point cuts of our Eurozone on savings and term deposits will have a positive impact of approximately EUR 400 million.
Steven van Rijswijk: All right, yes, then on the Netherlands, clearly if you now look at the book, I think that we have 70% of our deposit book; we already took pricing actions. We, of course, cannot comment on future actions that we will take from a competitive point of view. Also in the Netherlands, of course, we look at what the dynamics exactly are there. We have a larger share of salary account customers that also has a benefit to us in terms of the longer application that we have. We realize that actually to get to, let's say, the 100 basis points margin, we still need to make more announcements. But they will come when they will come. But we're comfortable with our position and we're comfortable with the strength of our deposit rates in the various franchises including the Netherlands.
Operator: And we'll now move on to our next question from Giulia Miotto of Morgan Stanley.
Giulia Miotto: The first one is on costs actually. The guide for 2025 comes as a surprise versus consensus. What do you think has changed versus the Capital Markets Day back in June? Was it driven by higher inflation, higher CLA or in fact, you see a better opportunity for growth now? That's the first on costs. And then secondly perhaps one for Ljiljana on the RWA increase due to current risk increase in the loan book and some migration of files in the Wholesale bank. So can you give us a comment on how you see asset quality developing? Is there any area which is now worrying you on the early warning, the new system that you have?
Steven van Rijswijk: I'll give the first question to Tanate on cost and then asset quality to Ljiljana.
Tanate Phutrakul: Thank you, Giulia. I think on cost, collective labor agreement and inflation remains sticky in the course of 2025. I think that's one item I like to mention. And I think if we stick in line with our outlook for investments that we will make, particularly client acquisition and the savings that we would achieve during the course of '25, but I think we also want to reiterate that our guidance for the outlook for 2027 remains the same. That costs should grow between 3% to 4%, between '24 to 2027.
Ljiljana Cortan: Giulia, it's a very broad question that you gave to me. I'll try to summarize it in 2 developments that I see. And first I will comment on the S3 ratio, and you've seen it's 1.7%. We still deem it very low and a good asset quality. And if you're looking even at the absolute of the NPEs, they are at the same level as in the third quarter. So we do not see increase there. If you're referring to the Stage 2, which I suppose you are, in terms of the movement, well, this is due primarily to some methodological and model changes. And this is happening both in Wholesale Banking and in the residential mortgages. And I'll try to explain why. In Wholesale Banking, we have actually reclassified the parts of our low default portfolios for which we have taken provision overlays. So this is just alignment, I would say, with provisions that we have already taken. We have, as well, moved this exposure to the Stage 2. This does not mean an aerial shift in our change in the quality, but just different treatment of those loans. While on the Retail side, we have enhanced, I would say, our early warning model in a way to earlier detect some certain clients, and specifically in residential mortgages where we see extremely low percentages of S3, so below 1%, and keeping really well throughout the year. We have, as well, decided to take a look at the broader range and be able to react earlier. Again, as well here, I do not see -- also looking at delinquencies, I do not see an aerial shift or change in the quality of that portfolio. So those are the main movements and I think if you look at the overall risk cost in the last quarter, they're actually better than the third quarter. They go down. And what specifically looks good is that Stage 3 risk costs go down both in Wholesale and in Retail.
Operator: And we will now move on to the next question from Tarik El Mejjad of Bank of America.
Tarik El Mejjad: Actually I have just a couple of quick questions, follow ups. First on Russia, if you can explain a bit the onshore business you had and I think we all thought that the focus was more on the offshore part and that you're running down at the low losses. But just trying to understand a bit on the onshore and what we -- and I personally missed there? And secondly on the deposit campaign, that was very supportive for deposit growth. Are you -- what's the status now of all these campaigns and what's your plan for '25, and how that actually fits within your guidance and expected campaign versus the guidance on NII?
Steven van Rijswijk: Thank you very much. So on Russia, yes, the onshore business was largely with Russian and foreign customers, local accounts, local payments in deposit business, so for the local subsidiaries. And you're right, the lion's share with the business that we had with Russian companies were in the indeed in the international loans, not on that P&L or that local subsidiary. So it's more an operational unit than a large lending unit. Then on the deposit campaigns, yes, I mean depending on the time of the year and whether it's Black Friday or whether it is an opportunity that we have in the market, when we see an opportunity to grow our customer base or our primary customer base, or to do more business with our customers, than we do it, we do it in many countries with a couple of big campaigns. We have made more public that were taken in Germany, for example, we did one in '23 and then we did one in '24, and then we did in the beginning and we did of course also Black Friday, which was a big campaign in Germany. We did a campaign in Belgium when the state bonds came to mature. So -- but also in the Netherlands, we're doing campaigns as well. So every time that we can see we can increase from an NPV basis the value that we can attract from our customers, and that we can then do that in a time frame whereby from a NPV value perspective, we can do that at a value comes back in 2 years to 3 years, then we will look at it. So stay tuned to that channel, of course, I cannot make forward-looking predictions on that.
Operator: [Operator Instructions] And we will now move on to our next question from Kiri of HSBC.
Kirishanthan Vijayarajah: A couple of questions if I may. So firstly, going back to your Investor Day, you talked about taking the share of RWAs in the Wholesale bank down to 45% of the group, and you've pretty much done that already and actually achieved it quite quickly, so kind of well done on that. But given the commentary you said earlier about SRTs and other leavers, is the plan to maybe move that mix shift even further, is say, I don't know, like a 40% share of group RWAs in the Wholesale bank achievable in the next year or 2? And then my second question, just on the commercial NII guidance, just some color on what you've assumed happens in Belgium when a lot of the term deposits mature later this year. Do you expect them switching into higher-margin products or have you assumed it's just fairly neutral? I know it happens relatively late in the year, so the impact is probably more for 2026. But just in color on what you think or what you expect in Belgium when things normalize with the term deposit spike.
Steven van Rijswijk: Thank you very much, Kiri, for the questions. I'll take that one on the RWA. Tanate will talk about the term deposits in September in Belgium. Well, we were -- in the beginning of the year, we were at 50-50 when we talk about RWA Wholesale-Retail. We're now at 52% Retail and 48% Wholesale. So, yes, we're moving in the right direction. There's different elements that we use to actually shift that mix. So whether it is syndication or insurance or hedges or packaging through securitization or SRTs, those are all means to shift that capital mix and therefore, indeed an SRT in Wholesale Banking is a means to that level. We, of course, trade that off with growth. And so it means we can do more with Wholesale Banking clients for the same amount of RWA and at the same time grow faster in Retail Banking when needed. So we are on that trajectory to 45% Wholesale, 55% Retail by 2027, and then we'll take it from there. So let's first make more progress and then we'll update you on where we want to go with this, but the direction is clear.
Tanate Phutrakul: Then, Kiri, on the deposit campaign in Belgium, it's coming due more at the latter end of this year. But I think we are taking efforts in terms of cross-selling the customer with current account payment, investment accounts. Those are actions that we are taking already, and we do expect that the term deposits, when they come due, to move to -- partly to different price points as term deposit and partly into normal savings accounts.
Operator: And we'll now take our next question from Chris Hallam of Goldman Sachs.
Chris Hallam: Just 2 questions from me. Another one on deposits. You are guiding for liability and lending growth of 4% this year. I just wonder how that splits between loans and deposits. Is it 4% for both? And then within deposits, how much of the growth is sort of predictable growth in quarter for deposits versus specific campaigns? And then the second is just a follow up on Giulia's question earlier on cost. Tanate, I think you said no change to the 3% to 4% cost CAGR that you gave us last June, but that there's a bit more inflation that's sort of harder to shake off. Should we infer from that at the margin that there are some efficiency projects you may be needing to push a bit harder on? So just sort of trying to get a sense, if I look underneath the surface, how is the mix of expenses, growth and efficiencies changing, I mean if at all over the next couple of years?
Steven van Rijswijk: Right. I'll take the question on deposits and Tanate will take it on the cost side for '25. So on deposits, we are indeed targeting both customer balances -- sorry, customer balances to grow. That is both for deposits 4% and lending 4%. That's also the basis of the outlook on the Slide 20. And yes, I mean like you have seen over 2024, we have been able to grow our deposits there with EUR 47 billion and lending with EUR 28 billion. So there was 6% in total. But as part of it, you've seen also the number of primary clients going up with 1.1%. And that, of course, is very helpful because those are customers that do a lot more with the bank, including more -- putting more deposits in there. So customer growth helps deposit growth and in turn lending growth. Another thing to say with that is that a few years ago, we now also embarked, so only in the course of '23, we started with that, but you see it coming through in 2024 as also. On the Wholesale Banking side, we have been able to increase deposits, which was in the past not so much of strain, but has increasingly become one. So now we have 2 levers to pull from when we talk about our deposit strategy. But in short, 4% on both sides of the equation. Tanate?
Tanate Phutrakul: Then I think to -- Chris, on the inflation or collective labor agreement, the elevation that I talked about is for 2025, and we expect that to be more subdued in '26 and '27. And I think we gave a bit of a better insights on how we would achieve those savings target, which indeed we're looking for opportunity to enhance that on Page 23 where we already see signs that we are able to scale our operation and take out FTEs from many of our areas like in the call centers, in KYC processes and in part of our tech operations.
Operator: And we'll now move on to our next question from an Anke Reingen of RBC.
Anke Reingen: The first is on the cost income ratio. I think at the Capital Markets Day, you talked about 54% to 55% over the years '25 and '26, and I was wondering if you think that's the achievable especially in 2025 and then I guess '26 as well, and how it would drop down into the '27 target. And then a small question on RWA growth. Are you still planning on around 4% RWA growth or could that be coming in lower considering the SRT while lending growth is at the 4%?
Steven van Rijswijk: I'll give the question on the cost income to Tanate.
Tanate Phutrakul: I think in terms of cost income ratio, you see in the outlook that was given by Steven that we expect by 2027, we would get to between 54% to 52% cost income ratio. And if you work the math through -- for 2025 based on our revenue guidance and cost guidance, you'll see that our cost income ratio is expected to be below 56% for 2025.
Steven van Rijswijk: On the RWA growth, yes, that of course the growth in RWA as such depends on where is the growth coming from. What we do see is that the growth is coming from Retail Banking more than from Wholesale Banking, given the fact that there's a lot of mortgage demand currently out there because there are shortage in houses and therefore the number of dwellings sold out is expected to grow in the main markets in mortgages in which we are active. And as you know, approximately 50% of our loan book sits in mortgages. So as a result of that, we would expect in the current market circumstance to that RWA growth before mitigating action such as SRT is a bit lower than the loan growth that we show.
Operator: And we will now take our next question from Benjamin Goy of Deutsche Bank.
Benjamin Goy: Maybe one more on cost to income and the cost measures. You obviously announced more measures, but flat revenues and cost up [ 5 ] is not ideal every year. So I was wondering what needs to change to be more drastic and be more significant efficiencies? And then secondly when I look at your 3 key markets or largest markets, Netherlands, Belgium, Germany, everywhere corporate defaults are ticking up almost every quarter, but we don't see it in the numbers. Maybe you can explain why you are simply better positioned in those markets in terms of the asset quality.
Steven van Rijswijk: Sorry, can you repeat the second question, Ben, because it was a bit garbled? So can you repeat that please?
Benjamin Goy: Sure. It's on the corporate default in Netherlands, Belgium and Germany are kicking up every quarter, but we don't see it in your number. So it's only the system data, not your own. So wondering how you're different or why you have a better asset quality performance.
Steven van Rijswijk: All right. Ljiljana will take the second question, but first I'll take this one on the cost income. So what you do see in 2025 that there you still see the compensation for, let's say, the lower margin that we partly compensate by decreasing the rates for our customers on the savings. And that we basically compensate by growing lending and growing fees. That's what's happening in 2026. But then through our scalability in ops and increasing scalability in technology, and yet that's why we gave examples of the scalability in operations and FTE of balances, then you will see positive jaw of returning in 2026. Ljiljana?
Ljiljana Cortan: And I will take the question on default. Yes, we've seen in the last year, the number of economies have increased the number of insolvencies that they witness in their portfolios. But when we look at our portfolios, and I'll primarily refer to the main geographies on the Retail side, you'll see as well our NPE ratio being very stable. And this is also being confirmed when we compare to the '23. So actually all the NPE ratios. But as well, the risk costs for the Retail portfolio are very much compared to the '23, and we do not see the uptick actually in none of the portfolios. If you would look a bit more closer, maybe consumer loans are the ones that are always first to react. But, however, our book on consumer loans, as you know, is 3% of total outstanding. So this is something that I would say for Retail. For the Wholesale Banking, we do -- and as we said before, we do have seen few of the individual corporate cases that in terms of industries were non-related, but were more related to specific circumstances the specific corporates has found itself in. While on the Business Banking, we do not see the specific trends, again, neither in some geographies nor in the specific industries. Clearly, if you're looking at certain areas that are more prone to, I would say, changing macroeconomic environment, you will see some supply chain distortions, but in the end do not reflect or are not reflected in the higher default rates. So altogether, I think the portfolio is really doing well with some points and pockets that we are looking specifically in. But we are comfortable on that and confident that we'll continue within our risk appetite.
Operator: [Operator Instructions] We'll now take our next question from Marta Sanchez Romero of Citi.
Marta Sánchez Romero: It was great to see the exit from Russia. So does it mean that management is looking at the footprint more closely and that we should expect more actions this year to address those markets where you have a suboptimal presence?
Steven van Rijswijk: All right. Well, look, the Russia situation, of course, is a specific one. I don't need to explain that I believe. But we have said already a couple of years ago that we did not see ourselves a future in Russia. And that's what we have taken action on by decreasing our loan book, localizing our operations and when sufficiently ready, starting to start a sale process for those local operations. So that's part of that, given the war that started in 2022. Other than that, we are always looking at how to optimize our operations and make sure that we get sufficient return for different business lines that we have. In that regards, you've seen a couple of years ago that we have started to take -- we took actions on a number of markets including the Czech Republic, Austria and France, especially on Retail because Retail in the current construct still is more local in nature than Wholesale obviously. That means that local scale are important. And on the flip side, a few years ago, we said now we want to diversify in these markets to realize local scale. But continuously we are evaluating the businesses and if they do not provide the right return long term, then we will review them.
Operator: Thank you. There are no further questions in queue. I will now hand it back to Steven Van Rijswijk for closing remarks.
Steven van Rijswijk: Thank you very much for attending our fourth quarter results. I wish you a great Thursday and I hope to speak to you soon and if not earlier, at least during our first quarter results early May. Thanks again. Bye-bye.